Operator: Good day, and thank you for standing by. Welcome to the Kirby Corporation 2025 Second Quarter Earnings Call. [Operator Instructions] Please be advised that today's conference call is being recorded. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Kurt Niemietz, Vice President of Investor Relations and Treasurer. Please go ahead.
Kurt A. Niemietz: Good morning, and thank you for joining the Kirby Corporation 2025 Second Quarter Earnings Call. With me today are David Grzebinski, Kirby's Chief Executive Officer; Raj Kumar, Kirby's Executive Vice President and Chief Financial Officer; and Christian O'Neil, Kirby's President and Chief Operating Officer. A slide presentation for today's conference call as well as the earnings release, which was issued earlier today can be found on our website. During this call, we may refer to certain non-GAAP or adjusted financial measures. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings press release and are also available on our website in the Investor Relations section. As a reminder, statements contained in this conference call with respect to the future are forward-looking statements. These statements reflect management's reasonable judgment with respect to future events. Forward-looking statements involve risks and uncertainties, and our actual results could differ materially from those anticipated as a result of various factors. A list of these risk factors can be found in Kirby's latest Form 10-K filing and in our other filings made with the SEC from time to time. I will now turn the call over to David.
David W. Grzebinski: Thank you, Kurt, and good morning, everyone. Earlier today, we announced second quarter earnings per share of $1.67, a 17% increase year-over-year from $1.43 in the second quarter of 2024. Our second quarter performance reflected solid execution across both of our business segments and continued strength in our core markets, supported by healthy customer demand, disciplined pricing and solid operational performance. Our teams continued to adapt and deliver strong results despite some navigational challenges in Marine and supply delays in distribution and services. Overall, our combined businesses did deliver another solid quarter. In Inland Marine Transportation, market conditions remained favorable during the second quarter. Customer activity was steady with barge utilization rates consistently in the low to mid-90% range, reflecting healthy demand across our core markets. Compared to the first quarter, weather conditions improved, but navigational and lock delays posed a modest headwind that challenged operational efficiency. Despite these headwinds, our teams executed well. On the pricing front, we saw continued gains in pricing. Spot market rates increased in the low single digits sequentially and in the mid-single digits year-over-year, supported by limited barge availability and firm customer demand. Term contract renewals also trended higher with low to mid-single-digit increases compared to prior year. The combination of improved pricing, disciplined execution and resilient demand helped drive operating margins into the low 20% range despite the operational challenges. This performance underscores the strength of our Inland Marine business and our ability to deliver solid results in a dynamic environment. In Coastal Marine Transportation, market fundamentals remained strong throughout the second quarter. Barge utilization was consistently in the mid- to high 90% range and was supported by a steady customer demand and limited supply of large capacity vessels. This supply-demand dynamic continued to drive meaningful pricing gains with term contract renewals increasing in the mid-20% range year-over-year, which is a clear indication of the market strength and our leading position in the market. Operationally, the quarter benefited from a reduction in planned shipyard maintenance, which had been a headwind in the prior periods. While some maintenance activity continued, its impact was less pronounced, allowing for improved asset availability and improved revenue generation. The combination of strong pricing, high utilization and fewer planned shipyards contributed to solid financial performance with operating margins reaching the high teens. Turning to Distribution and Services. Our teams delivered a strong second quarter, achieving year-over-year growth in both revenue and operating income with solid contributions across most of our end-markets. In Power Generation, revenues were up 31% year- over-year, driven by robust demand from data centers and industrial customers. The pace of inbound orders remained strong, further building our backlog and positioning us well for the second half of this year. We also secured additional project wins for backup and critical power applications, reinforcing our leadership in this space. In commercial and industrial markets, revenues rose 5% year-over-year, supported by steady marine repair activity and a modest recovery in on- highway services. These gains reflected both the resilience of our customer base and the effectiveness of our service network. Operating income increased 24% year-over-year, driven by favorable product mix and ongoing cost control initiatives. In oil and gas, we delivered 180% plus year-over-year increase in operating income, even while revenues declined due to continued softness in conventional activity. This performance was driven by strong execution, disciplined cost management and continued growth in e-frac equipment, which remains the lone bright spot in this challenged market. Overall, the segment performed well and demonstrated our ability to adapt to shifting demand dynamics and to capitalize on growth opportunities. We did deliver approximately 10% operating margins in the quarter. In summary, our second quarter results reflected continued strength in market fundamentals across both segments despite some navigational challenges and some supply delays. In Inland Marine, favorable market conditions supported higher rates and steady barge utilization. In coastal, industry-wide supply and demand dynamics remain constructive, enabling us to maintain high utilization and the ability to secure meaningful rate increases on term contract renewals. In Distribution and Services, robust demand for power generation, particularly from data centers and industrial customers, largely offset softness in oil and gas, allowing the segment to deliver solid financial performance in a mixed demand environment. We expect positive trends to remain as we move through the back half of this year. I'll talk more about our outlook later, but first, I'll turn the call over to Raj to discuss the second quarter segment results and balance sheet in more detail.
Raj Kumar: Thank you, David, and good morning, everyone. In the second quarter of 2025, Marine Transportation segment revenues were $493 million and operating income was $99 million with an operating margin of 20.1%. Total Marine revenues, Inland and Coastal together increased $7.8 million or 2% compared to the second quarter of 2024, and operating income increased $4.2 million or 4%. Sequentially, compared to the first quarter of 2025, total Marine revenues increased 3% and operating income increased 14%. As David mentioned, some navigational and lock delays impacted operations and efficiency in Inland. This was offset by solid underlying customer demand, improved pricing and most importantly, execution. Looking at the Inland business in more detail. The Inland business contributed approximately 81% of segment revenue. Average barge utilization was in the low to mid-90% range for the quarter, which was in line with the utilization seen in the first quarter of 2025. Long-term Inland Marine transportation contracts or those contracts with a term of 1 year or longer contributed approximately 70% of revenue, with 60% from time charters and 40% from contracts of affreightment. Improved market conditions contributed to spot market rates increasing sequentially in the low single digits and in the mid-single-digit range year-over-year. Term contracts that renewed during the second quarter were up on average in the low to mid-single digits compared to the prior year. Compared to the second quarter of 2024, inland revenues increased 1%, primarily due to pricing, offsetting the negative impacts of navigational challenges. Sequentially, inland revenues increased 1% compared to the first quarter of 2025 due to better weather conditions. Inland operating margins were in the low 20% range. Now I'll move to the Coastal business. Coastal revenues increased 3% year-over-year and increased 14% sequentially due to the combined impact of pricing and fewer planned shipyards in the quarter. Overall, Coastal had an operating margins of high teens due to the improved pricing and continued cost leverage. The coastal business represented 19% of revenues for the Marine Transportation segment. Average coastal barge utilization was in the mid- to high 90% range, which is in line with the second quarter of 2024. During the quarter, the percentage of coastal revenue under term contracts was approximately 100%, of which approximately 100% were time charters. Renewals of term contracts were on average higher year-over-year in the mid-20% range. With respect to our tank barge fleet for both the inland and coastal businesses, we have provided a reconciliation of the changes in the second quarter as well as projections for 2025. This is included in our earnings call presentation posted on our website. At the end of the second quarter, the inland fleet had just over 1,100 barges, representing 24.5 million barrels of capacity. We expect to end 2025 with a total of 1,110 inland barges, representing 24.6 million barrels of capacity. Coastal Marine is expected to remain unchanged for the year. Now I'll review the performance of the Distribution and Services segment. Revenues for the second quarter of 2025 were $363 million with operating income of $35 million and operating margin of 9.8%. Compared to the second quarter of 2024, the Distribution and Services segment saw revenue increase by $23 million or 7%, while operating income increased by $6 million or 20%. When compared to the first quarter of 2025, revenue increased by $53 million or 17% and operating income increased by $13 million or 57%. In Power Generation, Revenue increased 31% year-over-year, driven by robust sales. Our orders from data centers and other industrial customers for power generation and backup power installation continues to grow. This contributed to a very healthy backlog of power generation projects. Compared to the first quarter of 2025, power generation revenues increased by 35% and operating income increased by 88%. Operating margins for power generation were in the mid- to high single digits. Power generation represented 39% of total segment revenues. On the commercial and industrial side, activity levels in marine repair remained strong, while there was a modest recovery in our on-highway business. As a result, commercial and industrial revenues were up 5% year-over-year and operating income increased 24% year-over-year, driven by favorable product mix and ongoing cost savings initiatives. Commercial and industrial made up 48% of segment revenues with operating margins in the low double digits. Compared to the first quarter of 2025, commercial and industrial revenues increased by 8% on increased activity in marine repair and our on-highway businesses. Operating income was up 46% over the same period, driven by favorable product mix. In the oil and gas market, we continue to experience softness in conventional frac-related equipment as lower rig counts tempered demand for new engines, transmissions and parts throughout the quarter. This decline in conventional activity was partially offset by ongoing deliveries of e-frac equipment, which remains a bright spot in the segment. As a result of this mixed demand environment, revenues declined 27% year-over-year, though they were up 8% sequentially. Importantly, despite the revenue decline, we achieved strong profitability gains with operating income increasing 43% sequentially and 182% year-over-year. These results were driven by continued growth in our e-frac business and the benefit of disciplined cost management initiatives. During the quarter, oil and gas represented 13% of total segment revenue, and the business delivered operating margins in the low double digits. Now moving to the balance sheet. As of June 30, 2025, we had $68 million of cash and total debt of around $1.12 billion, and our debt-to-cap ratio remained at 24.8% with our net debt-to-EBITDA being just under 1.4x. During the quarter, we had net cash from operating activities of $94 million. Second quarter cash flow from operations was impacted by a working capital build of approximately $83 million, driven by underlying growth in the business in advance of projects, especially in the power generation space. We expect to unwind some of this working capital as the year progresses. We used cash flow and cash on hand to fund $71 million of capital expenditures or CapEx, primarily related to maintenance of equipment. During the second quarter, we also used $31.2 million to repurchase stock at an average price of $94. As of June 30, 2025, we have total available liquidity of approximately $331.5 million. We remain on track to generate cash flow from operations of $620 million to $720 million on higher revenues and EBITDA for 2025. We still see some supply constraints posing some headwinds to managing working capital in the near term. Having said that, we expect to unwind this working capital as orders ship in 2025 and beyond. With respect to CapEx, we now expect capital spending to range between $260 million and $290 million for the year. Approximately $180 million to $210 million of CapEx is associated with marine maintenance and capital improvements to existing inland and coastal marine equipment and facility improvements. Approximately $80 million is associated with growth capital spending in both of our businesses. This is a slight decrease from previous expectations as the timing of certain growth initiatives has shifted a bit, allowing us to defer some CapEx into 2026. As always, we are committed to a balanced capital allocation approach. We will use this cash flow to opportunistically return capital to shareholders and continue to pursue long-term value-creating investment and acquisition opportunities. I will now turn the call back over to David to discuss the remainder of our outlook for 2025.
David W. Grzebinski: Thanks, Raj. We had a good first half of 2025. That said, the macro environment has become more complex. Recent shifts in trade policy have introduced additional uncertainty, influenced customer purchasing behavior and contributed to softness in select end markets. These dynamics are beginning to affect trade flows in areas like chemicals and are also creating sourcing challenges in our power generation supply chain. We are closely monitoring the evolving macroeconomic and geopolitical landscape and their potential to impact our volumes. With that said, we still expect 15% to 25% year-over-year growth in earnings for all of 2025. However, if these trends persist, we could finish the year closer to the lower end of our guidance range with any movement towards the higher end of that range dependent on improvement in the macroeconomic conditions in the second half of this year. While we are taking a prudent view given the current environment, our core businesses remain strong, and we are well positioned to outperform if demand continues. Our structural advantages in marine and a growing backlog in power generation provide meaningful upside potential over time. Although the external environment has become less predictable, we remain confident in our ability to adapt, execute and deliver results. We also commit to maintaining capital discipline. With a strong balance sheet and solid free cash flow generation, we are well positioned to invest strategically, whether through selective capital projects, acquisitions or returning capital to our shareholders. This financial strength gives us the flexibility to navigate near-term uncertainty while staying focused on long-term value creation. Diving into the segments a bit. In Inland Marine, we anticipate constructive market dynamics due to limited new barge construction in the industry, but we are seeing some signs of price moderation at least for now. Term contract rates are expected to continue improving over the long term, driven by the slow pace of new build activity and tight vessel availability. However, spot market pricing may come under pressure in the near term if demand softness persists. Barge utilization, while still healthy, has moderated slightly entering the third quarter and is now expected to be in the low 90% range for the third quarter. Inflation remains a factor, particularly in labor and the industry-wide mariner shortage continues to constrain capacity growth. Overall, Inland revenues are expected to grow in the low to mid-single-digit range on a full year basis and operating margins are expected to remain in the low 20% range, assuming no major disruptions from tariffs or boarder economic conditions. In coastal, market conditions remain robust, underpinned by limited large capacity vessels available across the industry. This constrained supply side environment is driving pricing momentum and supporting higher term contract prices. Steady customer demand is expected to continue through the second half of the year with our barge utilization in the mid- to 90% range. We are seeing improved operating leverage as shipyard activity winds down with essentially 100% of the coastal fleet on term contracts, we expect a meaningful step-up in both revenues and margins for the remainder of the year. That said, we remain mindful of ongoing inflationary pressures and labor constraints. For all of 2025, we expect revenues in coastal to increase in the high single to low double-digit range compared to 2024. We also expect coastal operating margins to improve to the mid- to high teens range on a full year basis. In the Distribution and Services segment, results remain mixed across end markets as power generation continues to be a bright spot, fueled by strong sales and orders from data centers and industrial customers, which is helping to offset weakness in other areas. In commercial and industrial, the demand outlook in marine repair remains steady. The on-highway service and repair market, while still soft, is showing signs of bottoming out with modest recovery expected in the second half of this year. In oil and gas, we expect revenues to be down in the high single to low double-digit range as the shift away from conventional frac to e-frac continues to take place and customers continue to maintain considerable capital discipline. Despite the revenue decline, profitability has improved, driven by disciplined cost management and an increase in e-frac deliveries. Overall, the company now expects total segment revenues to be flat to slightly up for the full year with operating margins in the high single digits. To conclude, we had a solid first half of 2025, and we have a favorable outlook for the remainder of the year. Our balance sheet is strong, and we expect to generate significant free cash flow this year. In the absence of any acquisitions, we would expect to use the majority of this free cash flow for share repurchases. With favorable market fundamentals continuing, we expect our businesses to deliver solid and improving financial results as we move forward through the remainder of this year. And as we look long term, we are confident in the strength of our core businesses and our long-term strategy. We intend to continue capitalizing on strong market fundamentals and driving shareholder value creation. Operator, this concludes our prepared remarks, and we are now ready to take questions.
Operator: [Operator Instructions] Our first question comes from Daniel Imbro of Stephens Inc.
Reed Seay: This is Reed Seay on for Daniel. I'd like to start on the Inland side of the business. Obviously, capacity continues to be in a great spot. That's been the case for a little here. But now that you're talking about softness in the spot market, I was just hoping you could delve a little bit more into the demand side of that business. Obviously, we know the macro headlines and everything, but just want to get more of your thoughts. And if you could update us on spot pricing in July as it compares to June.
David W. Grzebinski: Sure. Yes. Well, thanks for the question, Reed. Yes. Look, the second quarter was good. It was strong. We were in low to mid-90s in terms of utility. We saw margins on the Inland side up sequentially. But as we entered July, this chemical malaise is finally starting to catch up with us. Our chemical customers have been fighting a negative tape for at least the last year or so, but their volumes have held up. But starting in this -- in July, we've started to see that volume pull back. I'm sure you can listen to the major public chemical companies. Their outlook and their results were pretty sanguine or almost dismal in some respects. So we've seen a little bit of that. I would caution and just say it is just a little. Our guidance for the third quarter is still around 90% utility. So it's not a huge pullback, but it's enough that we had to be a little more cautious. At Kirby, we're going to stay very disciplined on pricing. But with a little softness out there, we could see some pressure or moderation on spot pricing. That said, we did increase spot pricing in the second quarter and term pricing, both sequentially and year-over-year. But to give you a little more color, I'm going to turn it over to Christian on some of the details on some of the commodity moves, and he can give you a little more color.
Christian G. O'Neil: Yes. Thanks, David. Reed, let me try to unpack, I guess, a little bit of what we're seeing in the windshield in July. Keep in mind that as we get into July, typically, we see a little bit of a seasonal slowdown in utility. This is a direct result of usually improving weather condition. It creates a little more availability. So there is a seasonal piece to July being a little bit softer. We've seen that for a very long time. David talked about our chemical customers well. They're in a challenging market. They're trying to navigate the geopolitical and macro and tariffs and some of those uncertainties. And it's created a lot of complexity for them. But the thesis that their Gulf Coast assets, the U.S. assets are the strongest in their portfolio continues. You saw some closures in Europe, some pain for them. And they're just in a complex world right now in the macro chemical world and the exportation of some of the resin out of the Gulf. Keep in mind, the chemical business hasn't been that great for a while now. They've been in a downturn for at least a year. And we've had good solid results despite that kind of global chemical market. So the way I look at it is they're challenged by the macro. Any improvement in GDP, the macro housing starts, auto, any of that stuff kind of stabilizes. I think it represents probably an opportunity for us. I'll pivot now to the refining side. I'm pleased to see that refinery utilization was strong. Run rates are strong, particularly in PADD III. However, once again, the sort of geopolitical environment, the tariff environment has impacted other refiners in PADD III, talking to our friends in the refining industry, they'll tell you that their crude slate has lightened up quite a bit in the last few quarters. That means some of that waterborne heavier crude oil, the mine in Mexican barrel, the Venezuelan barrel, the Canadian heavy barrel, some of that has been displaced for abundant lighter, tighter U.S. Permian or domestic crude. Naturally, what we do in the barge business is we move a lot of the heavy and medium feedstocks into refinery. We help balance and optimize the refining complex. That's a big part of our business. When their crude slates lighten up, it takes some of those barrels out of the barge and into the pipeline. PADD III refineries typically like that heavy barrel, and we'll watch that very closely. But I think you see some things like Chevron being able to hopefully import from Venezuela again, some of the macro geopolitical stuff enabling the heavier Mexican barrel and some of the Canadian barrels to come back in, that will be a good thing for us and the barge business. But despite what you might call a little bit of headwinds in July, I mean, you hit it, Reed, when you referenced it, the supply side picture is still very good, and David referenced that. The supply side picture is still very good, and we can go into more detail about that later on in the call.
Reed Seay: Got it. That's great color. And then I just wanted to touch on the power generation side. Obviously, a great quarter for that segment. You talked about stronger demand and business wins. When we look at the revenue for the second quarter, is that a lot of down payments? Or did you have some deliveries come through this quarter that helped out those results?
David W. Grzebinski: Yes. No, it was deliveries. We have -- as you've heard, we've had delays in prior quarters of some of our supply chain, particularly some larger engines. And we've started to get that. We've started to move the pig through the python, so to speak, and are starting to ship some of these big power gen orders. And that said, I think third quarter will be a strong quarter for shipments for us. But I would caution you, remember that power gen is going to be lumpy. These are big orders and they come in lumpy and the deliveries can be lumpy. That said, the growth we're seeing is tremendous. Even with a heavy shipment quarter here in the second quarter and one anticipated in the third quarter, our backlog has grown. Our backlog in the second quarter probably jumped 15% to 20%. We're still taking orders, this power gen thing is real. We're not an AI play for sure, but we are benefiting in our power gen side of our D&S business. And it's been nice. We've been working on our cost structure, too. You probably saw our margins are creeping up. Christian has really got the team laser-focused on cost and throughput performance. So that is starting to pay off. So we're pretty excited about where D&S is and where they're positioned right now.
Christian G. O'Neil: Yes, David, I might add one thing just to give a shout out. The D&S team right now, you see a steady drumbeat and pattern of improvement. The teams embraced the hard work of changing and continuous improvement, lean manufacturing. We've got a hardworking team, who are humble enough to know that we can continue to do it better, and they had a great quarter in Q2, and I predict that truly the best is yet to come. The team is executing at a very high level right now, very proud to be working with them.
Operator: Our next question comes from Ken Hoexter of Bank of America.
Kenneth Scott Hoexter: Sorry, a lot of calls going on at the same time, a lot of earnings out. So I just want to understand kind of the messaging here, you moved to the lower end of the 15% to 25% growth target. Christian, I hear you on kind of the shifting demand on the last answer for spot price weakness that you saw maybe towards the June. But I guess I'm getting conflicting reports on what's going on here lately in the second half of July, and I know it's recency, but some customers are saying it continues to deteriorate. It's getting softer. Some are saying seeing some sort of a rebound. Maybe you could just give kind of an update, a little bit more detail on that, and then thoughts on the margin impact, right? What's driving the move to the bottom end of the range? Is it just the Inland because you got great coastwise and others.
David W. Grzebinski: No. Ken, let me be very clear on the low end, and I'll let Christian talk more about the kind of what we're seeing in July, and you're right, there is some bright spots and some weak spots, but just on the guidance, if demand stays muted like it is in chemicals, we're probably closer to the end -- the lower end. That said, it doesn't take much to get that demand back up, a little more in housing starts, a little more auto and then our domestic chemical routes will increase, and we could also see this heavier feedstock slate come back into the refineries, which would tighten up demand a little. So it's not a foregone conclusion that we're at the low end. It's just if demand stays kind of where it is right now, we're probably likely to be there. It's not going to take much to get us back blowing and going again because the supply side is so tight, but let me give it back to Christian on some of the nuances around the products and whatnot.
Christian G. O'Neil: Yes. Thank you, David. Ken, I would subscribe to your channel checks that are more optimistic in the latter half of July. So I think in early July, you usually see a lot of the traders and other folks are on the vacation around the 4th of July. You typically see a slowdown just based around that and the trading activity, coupled with good summer conditions where we're making a lot of miles, you create a lot of barge availability. I will tell you, I feel better about where we are. I can't speak to the other barge lines in late July versus where we were in early July, if that answers your question.
Kenneth Scott Hoexter: It does. just, yes, I guess, conflicting reports on such an important part of the business for what's going on now, and then on Coastwise, you've kind of broken a real barrier. Dave, you kind of were talking for a while about the potential for margins to beat Inland, and now with -- we're low 20s at Inland and upper teens at Coastwise, you're almost there. What -- if this weakness or I guess, this status quo persists on the Inland and it just holds this, does that mean we're not going to see that second half ramp in margins that we expected? And is there a chance then that Coastwise catches it and surpasses it?
David W. Grzebinski: Yes. Let me break it down a little bit. On the inland side, about 60% of what we move is petrochemicals. On the coastwise side, it's more like 10%. So coastwise has -- they're not feeling that chemical pinch and demand that we are on the inland side. But that said, we still think margins are going to be a slow march upward on the inland side. We're just not as bullish given the chemical demand that we're seeing right now. We are very bullish on coastal, and it's just so supply constrained, right? Even if somebody wanted to build new equipment on the coastal side, it's 3 years before you'd see anything. Now that said, it's pretty constructive on the supply side for inland as well. Just to give you some numbers, the planned build this year was about 52 inland barges. We think 27 inland barges have been delivered so far this year. And our estimate is about 35 have been retired. So we actually have a net decline in inland barges. So we're very constructive on the supply side. It's just this little demand pullback that we're seeing. And again, it's little. We're still talking about on average around 90% utility for the third quarter. Yes, we're very disciplined on pricing, but we're also cognizant that the others may feel a little different than that. I don't know, I rambled a bit there. I hope that answered your question, Ken.
Kenneth Scott Hoexter: No, it does. I'm just trying to figure out if we're going to see that reality of Coastwise surpassing inland on the margin side, right? I get what's going on, on the inland side, the scale and the bounce up on coastwise has been tremendous.
David W. Grzebinski: Yes. Yes, we'd be happy to get coastal margins very high. But yes, you know the big earnings power is on the inland side, as you know. It's just that much larger than the coastal side.
Kenneth Scott Hoexter: And I'm sorry, just one last follow-up. Did I miss what -- did you say what inland revenues would grow at year-over-year for going forward for the third quarter? Or was that just part of the earnings range?
David W. Grzebinski: Go ahead, Kurt. What do we...
Kurt A. Niemietz: Yes, Ken, we didn't give a specific for the third quarter, but we gave you the full year. So we'll be in the low to mid-single digits there for the full year.
Operator: Our next question comes from Greg Lewis of BTIG, LLC.
Gregory Robert Lewis: Raj, I guess my first question is, I think I heard in the prepared remarks that you guys made some decisions to defer some CapEx. Could you talk a little bit about that decision and kind of what -- maybe what was driving that, that you're seeing in the market?
Raj Kumar: No. So this is just related to some of our growth-related CapEx and some of these projects push out, right? So it's not -- some of it -- why we brought down the CapEx number because some of it probably get deferred into 2026, and so we just wanted to highlight that. The important thing, Greg, is our free cash flow number is going up, and in terms of capital allocation, you should see us continue to pursue buying back our stock. We like where our stock is. Of course, it's a balancing act, as I've always said, we're always looking at acquisitions. So we'll have to manage through that, but absent any acquisitions, you should see us continue to buy back our stock.
David W. Grzebinski: Yes. Greg, let me pile in here. Raj took up free cash flow guidance by $50 million this quarter. Part of that is deferral, part of it is just -- we're just generating more cash as business improves and as the power gen stuff starts to deliver. We have a lot of working capital there. So look, you know what we prefer with our free cash flow. We love to buy other companies, particularly marine companies. But as you know, it's -- those are hard to predict, and in the absence of that, as Raj was saying, we like where our stock is, and you could see us use the majority of our free cash flow, absent an acquisition to buy back stock.
Gregory Robert Lewis: Okay. Yes. No, that's been pretty consistent messaging around that, and then my other question was, you mentioned that it looks like on the inland barge new build side, there's not a lot -- there's a mill or very few barges under construction, but I felt like you said that maybe pricing was maybe coming down, and I realize steel is not coming down. So kind of curious what's maybe putting some of that downward pressure on new build barge pricing?
David W. Grzebinski: I don't know that we said that new barge build pricing was coming down. We're not hearing that.
Christian G. O'Neil: Still seeing clean barges, 4.5, heaters, 5, 7, 10K, 22 ballpark-ish, give or take, a couple of hundred depending on the bells and whistles that you put on them. But I would tell you that steel is still stubbornly high and really the labor component at shipyards has not changed. My conversations with the shipyards in recent times, I don't see any significant decrease in the price of the tank barge nor on the offshore side.
Gregory Robert Lewis: Okay. And so realizing that Kirby is probably more disciplined than others. But as Kirby views it, I feel like on previous calls, you kind of pointed to 20-plus percent away from new build economics, just looking around that, I imagine not much has changed in terms of that.
Christian G. O'Neil: Yes. It's probably more like 35%, 40% to get to the -- to make sense to build something -- a full new to -- with a new towboat plus 2 new barges, a 2-piece tow.
Operator: Our next question comes from Scott Group at Wolfe Research.
Scott H. Group: So just looking back at Q2 and what was felt like a pretty strong environment, the inland contracts increased low to mid-single digits. It feels like we've been in that sort of low to mid-range the last few quarters. Why don't you think in a stronger environment, we've seen better than that? And how do you think about contract pricing in what now maybe is a little bit of a softer environment? And how does that change your views about where you think ultimately these inland margins can go? Like do you think the low 20 range is sort of where we're going to go this cycle? Or do you think that there's still some upside beyond that?
David W. Grzebinski: I definitely think there's still plenty of upside. Let me just talk a little bit about pricing. We approach our customers with a reasoned approach on pricing. It's hard to go to some of these big chemical customers that are having really dire straight times and say, "Hey, look, you're going to pay this or else." We work with them. It's a partnership. It is supply and demand, and we outlined that, and we outlined our labor costs and inflation are going up, but it's a reasoned slow approach. These are big sophisticated customers, and you're not going to take advantage of these big guys, and we're not trying to. It's -- these are partnerships. So slow and steady is what we like. I do think -- I still believe the inland cycle will get into the high 20s in terms of margin. This little pause we're having now, it's not really a pause so much. I mean, just last quarter, we raised prices. So we'll see what happens this quarter. It's going to be a slow, steady rise. We're comfortable with that. Look, rates are up 50% since 2022. So it's -- they needed to come up, and as we just said, they need another 40% or so, 35% to 40% before you get a return on new capital to build new barges. So it's slow and steady is what I'd say, Scott. We're happy with slow and steady.
Scott H. Group: Okay. That's helpful. And then I know there was already a question on M&A, but when you think about balancing M&A and buyback, is there sort of -- how much capital do you see potentially to deploy? And when you think about M&A, is there -- what feels more likely between something large or some smaller things?
David W. Grzebinski: Yes, oh boy, it's just so hard to predict on M&A. As you saw earlier this year, we bought some barges and boats for about $100 million, a little less. That -- we used to think of that as a large acquisition. Now that's a small acquisition. Yes, look, we're in favor of any acquisition. Obviously, the larger, the better for us, but it's -- they're just hard to predict. If you handicap where we're going to do an acquisition, I would say it's most likely in the inland side. And frankly, that's where we want it to be. We have the most synergy potential and the most ability there to feather it in to serve customers better. So we prefer the inland side. And yes, there's a gamut. It could be a small barge line all the way up to the larger ones. We're agnostic. We would prefer a larger one just because that's that would be better for us in the big picture. But again, it's hard to predict them. We look at a lot of them. And sometimes we get blacked out and we can't go after our stock because we're looking at something material. And other times, the bid offer spread so far hard, it doesn't matter. So I'm rambling a bit, but it's -- as you know, it's very hard to predict acquisitions.
Operator: [Operator Instructions] Our next question comes from John Daniel of Daniel Energy Partners.
John Matthew Daniel: Just one question this morning. When you think about the frac market, there's lots of data which shows who still plays in the market, so guys like me can make calls and get a pretty good sense as to which companies are building new, who's actively refurbing and/or who might be building out electric, et cetera, et cetera. When it comes to power demand for things like data centers, this is a bit of a black box to some OFS guys like myself. So my question is rather simple. When you look at the power side of the business, how many quotes are you giving today to potential customers versus maybe 6 to 12 months ago? How many of those people are outside of traditional oil and gas? And then how many of those quotes would be to what you would consider a legitimate buyer, sort of a long-winded, that's three questions. So I just told you one.
David W. Grzebinski: We'll break it down a bit. Yes, most of the quotes, if not -- I wouldn't say all because that would be an exaggeration, but most of them are data center or prime power outside of oilfield. Data center is the biggest area for power gen, and then -- but look, I mean, last quarter, we took an order for the New York Stock Exchange for backup power. We just -- everybody needs backup power and the data needs are driving that, to be honest, but it's very little is oilfield. We did talk about oil -- our oil and gas segment being up nicely in terms of profit, but that's on a very low base, and we attribute it to e-frac, the profit we had, but those are more like electric backside equipment like blenders and stuff like that, that augment some of the electric fleets out there, but the bulk, I would say, probably 95% of our orders are outside -- 95% of our orders for power gen are outside of oil and gas.
John Matthew Daniel: Okay, and would you say the inquiries are accelerating still?
David W. Grzebinski: Yes. We had a pretty good shipment quarter and our backlog jumped 15% to 20% just this quarter. The number of bids continue. You do worry about a bubble in this power gen stuff, but everything we keep hearing and talking to our customers, these data centers, whether it's hyperscalers or co-locators continue to build. So we're enjoying it right now. It is supply constrained. There is some serious supply constraints. You just can't get as many engines as you could sell, but that's okay, we're happy with where we're at right now, and we continue to build the backlog, and frankly, as Christian mentioned, the KDS manufacturing team has really gotten into lean manufacturing in a big way, and our throughput is improving.
John Matthew Daniel: Okay. I'm going to squeeze one more. I'm sorry, I lied here. Are any of the -- is there any opportunities for this power gen that you're seeing internationally? Do you get calls from international buyers? Or is it just domestic?
David W. Grzebinski: I would say it's almost all domestic. There is some potential actually on the oil and gas side for e-frac, but all the power gen stuff is really domestic.
Operator: This concludes the question-and-answer session. I would now like to turn it back over to Kurt Niemietz for closing remarks.
Kurt A. Niemietz: Thank you, Amber, and thank you, everyone, for joining us today. As always, feel free to reach out to me throughout the day for any follow-up questions.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.